Operator: Ladies and gentlemen, thank you for standing by, and welcome to the VOXX International 2020 Second Quarter Results Conference Call. At this time, all participants are in a listen-only mode. After the speaker presentation, there will be a question-and-answer session. [Operator Instructions]. Please be advised that today’s conference is being recorded. [Operator Instructions]I would now like to hand the conference to your speaker today, Glenn Wiener, Investor Relations. Please go head, sir.
Glenn Wiener: Good morning, and welcome to VOXX International’s fiscal 2020 second quarter results conference call. I trust everyone had a chance to review our press release, which was issued yesterday after market close, along with our Form 10-Q, which was filed with the SEC. Both documents as well as our updated Investor Presentation can be found in the Investor Relations section of our website.Today’s call is being webcast live on our website and can be found in the Events & Presentations section. A replay will be available approximately one hour after the completion of today’s call for those who are unable to join.Speaking from management today will be Pat Lavelle, President and Chief Executive Officer; and Michael Stoehr, Senior Vice President and Chief Financial Officer. John Shalam, Chairman and Founder of VOXX is also with us and all executives will be available for commentary during the Q&A portion of our call following management’s remarks.VOXX has undergone a significant realignment of its business over the past several quarters, which will continue in fiscal 2020. Progress has been made and as Pat will note, the company is on track for profitability in the second-half of the year. As we move closer to our third quarter results announcement and in calendar year 2020, we intend to get more active in telling our story to prospective investors and analysts as we believe there are compelling opportunities to further unlock shareholder value, especially with some of the long-term developments Pat will address.I’d like to remind everyone that except for historical information contained herein, statements made on today’s call and webcast that would constitute forward-looking statements are based on currently available information. The company assumes no responsibility to update any such forward-looking statements. And I would like to point you to the risk factors associated with our business, which are detailed in our Form 10-K for the period ended February 28, 2019.I’d like to thank you all for your continued interest in VOXX. And at this time, I’d like to turn the call over to Pat Lavelle.
Patrick Lavelle: Good morning, everyone, and thank you, Glenn. As we addressed in our fiscal 2019 year-end call, we are proactively taking steps to improve our infrastructure, stabilize our business, lower fixed cost and return VOXX to profitability. We made a lot of progress to date and there is more that we’ve done throughout fiscal 2020 to ensure we’re positioned to achieve our goals in the years to come and in turn enhance value for our shareholders.Near-term, there are two factors that are leading to lower volumes for both our OEM and aftermarket products. One, lower car sales that we’ve seen this year with global car sales down approximately 3% from July and down 1.25% in the U.S. year-to-date; and two, the timing of end-of-life and the start of new programs. We do not believe this will be a long-term trend, however, given recent awards that we’ve received from our OEM customers.For the second quarter comparisons, consolidated net sales declined by $18.6 million, and of this, over 70% of the decline was in our Automotive segment, which has historically been one of our more consistent, stable and profitable segments. We are expecting automotive sales to be down year-over-year that was communicated previously, and our near-term outlook has not changed. However, as we look out over the next few years, we believe this segment will be one of the key growth drivers for our business.During the second quarter, VOXX Automotive was awarded the next generation RSE program, that’s Rear Seat Entertainment program with one of the big three U.S. automakers. This program will launch in calendar year 2021 on model year 2022 vehicles and has a total value of approximately $275 million over a five-year period.In addition, Nissan awarded us another RSE program for the Armada, slated to begin in August of 2020, which will run for two years. We will be launching a new RSE program for the Lincoln Aviator this quarter, and we believe – and we’ve recently added new business with Ford for the Expedition XLT, which will begin mid-year in 2020.There are a number of other programs that have been in development, which are nearing final stages of testing and evaluation. And based on what we have won and what is in the pipeline, our Automotive Electronics segment could be poised for growth towards the end of fiscal 2021 and significant growth in fiscal 2022, which would be sustainable based on the long-term nature of the programs. This is what is driving our optimism.On our Consumer Electronics segment, they posted a sales decline of $5.3 million due to the softness in the European market and declines in domestic accessories. Regarding the domestic business, sales were down $1.8 million, due in part to the SKU rationalization program and the discontinuance of several products, which we had discussed previously.However, our domestic business outperformed our budget, both in the second quarter and year-to-date, and we continue to show year-over-year growth in the wearable category based on our position as distributor of Apple, Samsung, Garmin, Fitbit and Stride activity trackers.During the second-half of the year, we will be expanding distribution of reception connectivity and power products to new countries in the APAC region and launching new products in the remote control, karaoke, antenna and audio categories. We are actively managing inventory, reducing our risk and focusing on products that have better margin structures and are more sustainable life cycles, consistent with the strategy I outlined on our past two calls.Our domestic premium audio business was down modestly compared to last year’s second quarter, which was a strong quarter for that group. A positive when you consider that we had very strong load-ins of the new Reference Premiere and Reference base home speakers last year that obviously did not repeat again this year. Year-to-date, premium audio sales are up close to 4%.Sales in premium mobility and premium wireless and Bluetooth speakers are showing nice growth, new distribution with SnapAV contributed to growth in the commercial installation channel, and the launch of our new T5 Series Headphones help drive growth within the mobility category and the launch of new soundbars help drive sales of audio system speakers. Klipsch is performing well and we expect that will continue into the second-half of the year.In our Biometrics segment, we launched the new EXT outdoor perimeter access product line in Q2 and we launched the latest version of our Nano NXT perimeter access product with all new upgraded software. During the quarter, these products were in beta testing with customers and potential partners and should help drive sales and income improvements in the fourth quarter. ViaTouch business is moving slower than we had anticipated, but still holds the same potential, as we’ve indicated on past calls.A positive development for EyeLock this quarter is in the healthcare space, as we have been approved by a major company, which unfortunately, I’m not at liberty to disclose by name. But what I can say is that, we anticipate that we will begin billing for NRE in the fourth quarter and throughout fiscal 2021. And this contribution, in addition to other businesses that have been awarded, should significantly lower EyeLock’s operating loss, which has been already improved by 600,000 in the second quarter and by approximately 1 million year-to-date.There are three other primary programs EyeLock is working on, which although they will not contribute to fiscal 2020 results, could have meaningful impact on their business over the next two to three years. One is in the gaming industry, another in the automotive industry, and the last is in the security industry.As a result of the considerable amount of custom engineering involved with each potential customer, the EyeLock programs have been slow to materialize, which has been frustrating for us and our shareholders and we recognize that. And we’ve addressed what we can control by lowering our costs, which has helped lower cash outlays and reduce operating losses.We are getting much closer to wider scale adoption of EyeLock’s technology and believe the next six to 18 months will validate EyeLock’s position in the industry and potentially lead to other avenues of growth and profitability for VOXX.A few other updates before turning the call over to Mike. As you saw from our announcement On October 2, we closed on our real estate sale in Pulheim generating net proceeds of approximately $9.7 million.In that same release, we announced that HF has rescinded the deal due to their inability to obtain financing at the agreed upon price and our refusal to renegotiate the price. That business, which includes both Oehlbach and Schwaiger is profitable, and we rather keep it as part of VOXX than sell it as a discount, especially since following our restructuring, as it generates cash and EBITDA. If another opportunity to divest materializes, we will evaluate it, as we do with all of our business segments and groups.We are still realigning certain areas of our business, investing in innovation and looking to expand distribution and partnerships across all three segments. We are executing on the share repurchase program as we’re able to in the open market and we will continue to do so as we believe our stock is undervalued and repurchasing shares represents a good use of capital.We are also looking at potential acquisitions that could strengthen our business further and improve EBITDA and cash flow, though we are not looking to leverage our balance sheet or overpay for any business or businesses. We are executing on the initiatives we’ve outlined during our year-end call and we expect to be profitable in the second-half of the fiscal year.With that, I will turn the call over to Mike for a review of our results and the balance sheet. Michael?
Michael Stoehr: Thanks, Pat. Good morning, everyone. Similar to the second quarter results, the majority of the sales decline for the six-month period was in our Automotive Electronics segment, which represented close to 90% of our total year-over-year decline and the majority was in our OEM business for the reasons Pat addressed.We are anticipating the second-half of the year to be lower than the second-half of fiscal 2019. But based on the launch of new vehicle models, the year-over-year comparison should level off and potentially show a modest increase in Q4.Consumer Electronics segment sales were up 2% year-to-date, but above our initial forecast. Premium Audio auto sales continue to increase based on new products brought to market and expanded distribution and year-to-date are up close to 4%, as Pat noted. Sales of audio products, reception products and wearables continue to trend upwards, offset by the declines in the European market.Gross margin the second quarter were down 220 basis points, with the biggest decline in our Automotive Electronics segment, based on lower OEM sales and under absorption of labor. As new OEM programs begin, margin should return to more historical levels in that segment. The second quarter decline in Consumer Electronics segment was primarily related to product mix. The negative margins in the Biometrics segment was due to startup costs related to customer and beta test samples of new product launches.For the year-to-date period, gross margins were down 90 basis points with only minor declines on a gross dollar basis in the Consumer Electronics and Biometrics segment. The drop was in automotive and we expect modest sequential improvements in both the third and fourth quarters.I’d also like to note that margins were affected by tariffs. The tariffs impacted margins as early tariff increases were not passed on to the customer. The latest round of tariff increase have been passed on in the form of price increases to our customers, but certain customers have a time bar before these increases go through.We are working to lower the impact of the tariffs by moving production out of China in conjunction with our manufacturers. Not all products can be moved and the products we are successful in moving will still carry higher labor costs than Chinese-manufactured products.Total operating expenses were down $11 million, or close to 26% when comparing the second quarter periods and declined by $10.6 million, or just over 14% for the year-to-date comparisons.For the second quarter, we had a $900,000 decline in selling expense due to lower commissions and lower headcount, as we have realigned our business. Klipsch, however, has increased headcount to support both current and future growth and new product development.G&A expenses, excluding the share grant to our CEO was down approximately 300,000, as we had declines in office expenses, legal fees, third-party fees and office salaries. As a result of the accounting treatment for the share grants, we took a non-cash charge of approximately $1 million.Engineering and technical support expense declined by approximately $1 million with majority of the decline in R&D. This was principally as a result of EyeLock transitioning from outside contractors to in-house engineering.I’d also – I’ll also note that last year’s second quarter included intangible asset impairment charges of $9.8 million. Excluding the impairment charge, total operating expenses declined by approximately $1.2 million, or 3.7%.For the six-month period comparisons, total operating expenses declined by $10.6 million, or just over 14%. Excluding the impairment charges, last fiscal year’s pickup from the favorable counterfeit lawsuit and non-cash charge for stock-based compensation, OpEx declined by approximately $3.8 million, or 5.7%. You will see more expense reductions in the second-half of the year based on the steps we have taken to realign our operations, both domestically and abroad.As for other income and expenses, in the fiscal 2020 second quarter, we had other income of $1.7 million, compared to other expenses in the second quarter of fiscal 2019 of $2.7 million. Interest and bank charges declined by $230,000. Equity in income and equity investee declined by approximately $370,000, and other net increased by approximately $300,000.The two biggest items are as follows. We recorded investment gain in this year’s second quarter of approximately $800,000 related to the fiscal 2018 sale of our investment at RxNetworks, as a portion of the cash proceeds were subject to a holdback provision, which was released this quarter.Additionally, in the fiscal 2019 second quarter, we recorded a $3.5 million impairment on our Venezuela investment properties. You can see other income and expenses broken out in our press release and Form 10-Q for the six-month period.Operating losses for the second quarter comparisons improved by $3.7 million and the net loss attributable to VOXX improved by $14.8 million. For the six-month comparisons, our operating loss improved by $1.7 million, and the net loss attributable to VOXX improved by $14.6 million.Lastly, we reported an adjusted EBITDA loss of $700,000 for the fiscal 2020 second quarter and a loss of $1.9 [ph] million for the six-month period. This compares to an adjusted EBITDA of $4.3 million and $5.8 million for the three-month and six-month periods in fiscal 2019. The breakdown of EBITDA to adjusted EBITDA is in our press release and in our Form 10-Q filing on Page 41.In our fiscal 2019 year-end call, we had discussed anticipated losses in the first-half of the year as we work through our corporate realignment. The shift in automotive market has been more meaningful impact than we had initially forecasted. However, we move into the second-half of the year, we are anticipating profitability on an operating basis on both third and fourth quarters and expect to show year-over-year improvements.As for the balance sheet. Cash and cash equivalents of August 31, 2019 was $39.3 million, as compared to $60 million as of May 31, 2019. The cash usage is based upon seasonal working capital needs to fund operations.As we mentioned in our Form 10-Q, we have temporarily suspended our vendor finance programs, as we do not need the funding. If we had used the program, our cash balance for August would have been approximately $9 million higher. We expect our cash position to increase in the third and fourth quarters as we bought in the inventory and we’ll be moving it throughout the remainder of the fiscal year.Additionally, we announced on October 2, we completed the sale of our Pulheim Real Estate and proceeds from the sale will be used to pay down our euro asset-based lending obligations, while providing additional working capital to fund our German operations.Our total debt position stood at $14 million as of August 31, representing a decline of $3.6 million since our fiscal year-end and decline of $2 million since May 31. The decline compared to the fiscal year-end is due to a lower outstanding balance on the euro ABL and lower mortgage debt for our German and for our properties.The company intends to pay down by October 31 the approximately $5.6 million of asset-based debt in our German operations. We have sufficient cash on hand to fund our operations. We also have available $140 million domestic credit facility with nothing outstanding. Our balance sheet remains strong and we are maintaining the flexibility needed to continue to invest in R&D, to support future automotive, premium audio and biometric programs and repurchase our stock in the open market as we are able to.That concludes my remarks. And we’re now ready to open up the call for questions.
Patrick Lavelle: Thank you, Michael.
Operator: Thank you. [Operator Instructions] And our first question comes from Thomas Kahn with Kahn Brothers. Your line is now open.
Thomas Kahn: Yes, good morning. I think you’re making progress and this is good. How many shares did you buy back in the last quarter?
Michael Stoehr: 202,000, Tom.
Thomas Kahn: Okay. And you’re going to continue to buy back, again, that’s a question?
Patrick Lavelle: Yes, that’s the game plan.
Thomas Kahn: Okay. I would recommend that you gentlemen listen to the quarterly calls, John and Pat and you folks that you’ve had for the past three or four years, because they all have this optimistic spin to them. And I think what we have to do now is sort of temper in someway the quarterly calls on the optimistic spin and just try to stick to reality until the facts.So I’m saying, John, listen to the last four or five years and Pat and Mike, and tell me if I’m wrong. Do I hear something that you folks don’t hear? And as you know, you cry wolf so many times, people don’t believe you. So what we need is, listen to the calls. I’m making a recommendation. I’ve only been in the investment business for 40 years. So I’m a new player here. I don’t have optimistic spin and positive projections. I think it’s better off if you back off with that approach. Thank you.
Patrick Lavelle: Thank you, Tom. The one thing that – I hear what you’re saying. But I think it’s imperative that we advise the shareholders that, as I just did that during the second quarter, we were awarded a major program. This is a production program for one of the big three car manufacturers that will start in 2021 on 2022 vehicles.We believe that this particular contract, not only will lead to others because of the new technology that we’re bringing to market that will showcase at CES this year, but this is a production program. So this is based on the number of vehicles that they sell, and we expect that that business is going to be in the range of $275 million. The other thing – yes…
Thomas Kahn: I congratulate, Pat. This is all excellent and is all very good. But I standby what I said with respect to the last four or five years and the quarterly calls and what have been said, I think it would be informative. And I standby what I said, to try to back off. Let the good news come as surprises, if you will. That’s – I guess that’s the way I would put it.
Patrick Lavelle: Okay.
Thomas Kahn: Don’t think we’re better off in that way. I also commend you on share repurchases. That’s the smartest way to build shareholder value with our stock where it is. And John, I would encourage you to do more of it, don’t be different. Thank you.
Patrick Lavelle: Thank you, Tom.
Operator: Thank you.
John Shalam: Thank you, Tom.
Operator: And our next question comes from Sheldon Grodsky with Grodsky Associates. Your line is now open.
Sheldon Grodsky: Thank you. How many shares were granted to the Chief Executives?
Patrick Lavelle: There were 200,000 shares granted in the second quarter.
Sheldon Grodsky: Okay. So it’s almost the same thing that was repurchased in the market?
Patrick Lavelle: Yes.
Sheldon Grodsky: Okay. I would encourage you as the last speaker did, so I’m not going to agree with everything he said necessarily, but I would encourage you to buy back as much as your stock, as I said, as you can. I don’t think it’s going to be ever get cheaper. So the time is right?
Patrick Lavelle: All right. We agree and we have a 3 million share repurchase authorization and we plan to move along and purchase when the windows are open for us to purchase.
Sheldon Grodsky: Thank you.
Operator: Thank you. [Operator Instructions] Our next question comes from Brad Leonard with BML Capital Management. Your line is now open.
Brad Leonard: Hi, thanks for taking the question. So, first of all, Pat, in the prepared remarks, you said that the – in the press release that overall operating losses declined through the first-half of the year. Now, this is technically true, because on a GAAP basis, last year, you had a $9.8 million non-cash charge. So my question is, do you think that’s a fair statement? I mean, is that the way we’re really looking at this to say that we had improved operations, because we don’t have a charge this year?
Patrick Lavelle: Well, I mean, I think what Mike had showed is that, we take – when we took out all the one-time charges, we did have a further reduction in our overhead, both in the quarter and year-to-date.
Brad Leonard: Yes, but on an operating basis, we lost more money, excluding the charge, correct? I mean, adjusted EBITDA, which I think is more relevant, in this case with all the puts and takes, we were down significantly year-over-year in the first-half?
Patrick Lavelle: Yes, we were in the first-half.
Brad Leonard: Okay. So here’s my…
Patrick Lavelle: In that we anticipate...
Brad Leonard: That’s fine. It is anticipated, and I didn’t expect anything different. But I think it’s a – it’s not a fair statement to say that operations improved in the first-half of the year. The expenses were down, excluding the charge, I’ll give you that. But operating profit was was, I mean, really, on a GAAP basis, you are – your statement is factually correct. But I don’t think anybody is looking at that saying, “Hey, we had an $9.8 million impairment charge non-cash last year.”So we’re going to say things are better this year. They’re just not. And so I think that’s a – it’s an unfair statement to put out there and we can either agree or disagree on that. But I think it’s not a correct statement. So on the stock buyback, what are the limitations on the buyback? You guys have – you can buy what, 25% of average daily volume or something like that?
Patrick Lavelle: Yes. Mike, do you want to answer that question?
Michael Stoehr: Yes. It’s 25% of the average two-week volume.
Brad Leonard: Okay. So the average three-week volume you said or two?
Michael Stoehr: Yes, I think it’s three weeks.
Brad Leonard: Okay. So that’s about what 40,000 or 50,000 shares is average volume?
Michael Stoehr: That’s correct.
Brad Leonard: Okay. So I guess my question is, we – you guys had said that the stock is very undervalued, where everybody thinks it’s undervalued, it’s covered by cash and real estate, whatever, maybe not now that we didn’t sell the one division. But it’s on a sum of the parts, I think, we all agree the stock is undervalued. So why so little in the buyback?
Michael Stoehr: One of the problems we had is that, because we have our first quarter and our year-end kind of rolling around, it’s not the same month, we clearly have started late and then we have to stop what we announced the quarter.
Brad Leonard: Okay. So…
Michael Stoehr: We’ll commence a few days after this call.
Brad Leonard: I understand. So why not put a 10b5-1 plan in place to buy back in the – when you’re blackout?
Michael Stoehr: We’ll take it under consideration.
Brad Leonard: I mean, this is simple way to go instead of being blacked out for a month if the stock goes to 351, because the market tanks because of the President announces some tariffs or something like that, you said, gosh, I wish we could be fine, but we can’t. I mean, if you – if you guys are really serious about buying back 3 million shares at or around these prices, you should put a 10b plan in place and say we’re going to buy the ADV, or 25% of the ADV every day.I mean, yesterday, I bought 70,000 shares in the open market and there’s plenty of sellers out there. So it’s not a problem to get stock. I realize you guys can’t buy 70,000 shares, but there’s no reason to be blacked out for whatever it is four to six weeks every quarter. So…
Michael Stoehr: I just be able to say.
Brad Leonard: Okay.
John Shalam: This is an excellent suggestion. I appreciate your comments very much and we’ll certainly take this into consideration.
Brad Leonard: Okay. So the German accessory business that we had sold that these guys backed out, sounds like you guys did not want to renegotiate. So is there no financial penalty for them not closing?
Patrick Lavelle: It was part of the – first off, we’re restricted as to what we can say regarding NDA is that we’re signing.
Brad Leonard: Okay.
Patrick Lavelle: There were a number – there were a few MAC clauses in the agreement and that was one of them.
Brad Leonard: Okay. All right. So this automotive program sounds great. But when you – give me the details on this, again? You’re saying it’s going to start in calendar year 2021, or your fiscal year 2021?
Patrick Lavelle: Our fiscal 2021.
Brad Leonard: Which is next year?
Patrick Lavelle: No, excuse me. Calendar year 2021 on model year 2022 vehicles.
Brad Leonard: So we’re really out for two years from today?
Patrick Lavelle: Yes, we are. Yes, we are.
Brad Leonard: Okay. So we’re not going to see a lot of – and the automotive business could be down meaningfully for the next couple of years or flattish?
Patrick Lavelle: Well, we have new programs that I announced. The modest program starts next year. The aviator program should start in our third quarter and then we have the XLT program. So there are other programs that will start, that will offset end-of-life that we expect to see some growth in the category. But when you look at the projection on the larger program that I announced, that’s approximately $55 million a year that should start in 2021 calendar year.
Brad Leonard: Okay. So that is on a run rate of last year was – auto was what 160?
Patrick Lavelle: Yes.
Brad Leonard: Okay. So is this [Multiple Speakers] go ahead, Pat, I’m sorry.
Patrick Lavelle: That’s a sizable increase on top of the 160.
Brad Leonard: Now I understand. Is it going to be replacing potentially other business that is lost?
Patrick Lavelle: There will be some programs that will during the period that will be coming up towards end-of-life, but we’re in discussions with all of our current customers about either developing a new rear seat entertainment program for them or some sort of continuation. We will be announcing at CES show some of the details around our new product. And we think what we’re developing is going to be something that many of our existing customers will want to deliver.
Brad Leonard: Okay. So on the acquisition divestiture front, what is – I think, you said that this German businesses still – you’re happy to still run it as profitable. But did you say, make a comment that you would be willing to sell it if somebody else came along or the buyer came back to you?
Patrick Lavelle: There are other interested parties that have expressed interest in this company. And if we deem their offers realistic and acceptable to where we are, we would divest. The game plan was – is to bring the the dollars that we have invested in Germany, bring them to the United States and replace those sales in that EBITDA with the domestic operation, where we can leverage our existing overhead better…
Brad Leonard: Yes.
Patrick Lavelle: ….and generate more profitability.
Brad Leonard: I think that sound strategy. So that would go back to, I mean, as you guys are in discussions about, I don’t know what else is going on. But when you have the open window and you want to buy back your stock, if a deal comes up that’s meaningful, that would black you guys out for potentially the whole quarter...
Patrick Lavelle: You’re right.
Brad Leonard: …as you’re trying to close some things. So when you have the open window, you can set up a 10b plan and just run it for the next three quarter or three months or whatever or year, I don’t know?
Patrick Lavelle: There’s no question around the 10b-5 program you were recommending make sense.
Brad Leonard: Okay. So, all right, let’s get to the EyeLock here. I mean, I see that you extended the loan again that you’re lowering interest rate, which doesn’t really even matter, because they don’t have the money to pay it back. So I mean, the ViaTouch, which I think I indicated on previous calls, it does not sound, I don’t know, I just don’t – I don’t even understand the point of it, but it’s not being rolled out as fast as you had expected, or…?
Patrick Lavelle: It’s rolling out now. They are now starting to deliver machines. They’ve had their own delays in getting everything started, but they are rolling out and what we can see based on the interest that they have and the customers that they have lined up, the volumes are substantial for them.
Brad Leonard: Okay.
Patrick Lavelle: The other program that we announced is one that we’ve been working on for a long time. Again, due to the competitive nature of the customer we’re working within the industry that they working with, they do not want us to talk about it. But it’s a – it’s another substantial program and we’ll validate the iris authentication technology that we have. There is another program that we’ll be able to announce at CES within the automotive space that could be very interesting for them. And then there’s the EXT and the NXT products that I talked about that are now in beta test. These products have to be tested, they have to be integrated with back-end security systems.So when we deliver a new product, there’s a lot of testing that has to go on and we’re in the process of doing that. And if everything goes well, we’ll see the sales of EXTs and NXTs pick up sharply. So when we look at the potential for them, I – the potential is good. Iris authentication is real, it’s secure. And I do believe that you’re seeing more and more interest in iris because of that security.So – and the fact that it’s an opt-in program, it’s not facial. This is a program where the consumer has to opt-in, but it is more secure than any other form of biometric on the market.
Brad Leonard: Okay. And can you – on the healthcare thing that you did announce, you can’t say who the customer is. Can you describe what the program is for? Is it the access to a facility or is it access to pharmaceutical products that are…?
Patrick Lavelle: If I describe it then I – I’ll probably infringe our NDA..
Brad Leonard: Okay.
Patrick Lavelle: ….so I’m not going to describe it.
Brad Leonard: Understood. Okay, that’s all I have. Thanks for the questions.
Patrick Lavelle: Thanks, Brad. Very helpful.
Operator: Thank you. And our next question comes from [Eric Egan] [ph], a private investor. Your line is now open.
Unidentified Analyst: Hi. I joined the call a bit late, so sorry if you already went over this. But the new contract you announced as well as the [indiscernible] OEM, so up to $275 million, over what time period is that?
Patrick Lavelle: That’s a five-year period, from its inception.
Unidentified Analyst: From its inception?
Patrick Lavelle: Yes.
Unidentified Analyst: And then so you think until we get there two years from now, the Automotive segment should see revenues, maybe around $30 million a quarter until then?
Patrick Lavelle: Based on, again, there are other factors. I mean, if we go into a recession, definitely car sales get hit. We don’t know if we’ll see a recession next year or possibly thereafter. But we have new programs that are starting, that I’ve announced, that will come and commence during that period of time before we launch this larger program.But on top of that, we may do a tuck-in acquisition into our automotive group, that will further support them during this period. So these are some of the things that we’re looking at. But all in all, I would expect that we would exceed where we are right now in revenue.
Unidentified Analyst: Okay. Thank you very much. I appreciate it.
Patrick Lavelle: You’re welcome.
Operator: Thank you. I’m not showing any further questions at this time. I’d now like to turn the call back over to management for any further remarks.
Patrick Lavelle: Well, thank you all and then thank you for your input. I thank you for your interest in our company. And I wish you a good day and a good weekend.
Operator: Ladies and gentlemen, this concludes today’s conference call. Thank you for participating. You may now disconnect.